Operator: Good morning, ladies and gentlemen, and welcome to the ARC Resources Limited Q4 2025 Earnings Conference Call. [Operator Instructions] Also note that this call is being recorded on Friday, February 6, 2026. At this time, I would like to turn the conference over to Dale Lewko. Please go ahead, sir.
Dale Lewko: Thank you, operator. Good morning, everyone, and thank you for joining us for our fourth quarter earnings conference call. Joining me today are Terry Anderson, President and Chief Executive Officer; Kris Bibby, Chief Financial Officer; and Ryan Berrett, Senior Vice President, Marketing. Before I turn it over to Terry and Kris to take you through our fourth quarter results and 2025 reserves, I'll remind everyone that this conference call includes forward-looking statements and non-GAAP measures with the associated risks outlined in the earnings release and our MD&A. All dollar amounts discussed today are in Canadian dollars unless otherwise stated. Finally, the press release, financial statements and MD&A are available on our website as well as SEDAR. Following our prepared remarks, we'll open the line to questions. With that, I'll turn it over to our President and CEO, Terry Anderson. Terry, please go ahead.
Terry Anderson: Good morning, everyone, and thank you for joining us today. This morning, I'll speak to our fourth quarter results, 2025 reserves and provide an update on our plans for 2026. After that, I'll hand it over to Kris to discuss our financial results. Before I dive into the quarter, I want to take a moment to recognize our team's exceptional safety performance with 2025 coming in as one of the strongest in our history. As you've heard me say before, safety is our #1 priority. Our people did an incredible job outperforming all of our key safety metrics, which is notable given the high levels of activity and degree of complexity we worked through this year. On behalf of our leadership team, thank you to our employees and contractors for your ongoing commitment to safety. Fourth quarter results were exceptional. We delivered operational and financial results above expectations. Production in the fourth quarter was a record 408,000 BOE per day, representing 7% growth year-over-year and 10% on a per share basis. Condensate and oil production was very strong in the quarter at 119,000 barrels per day. Kakwa was supported by strong well performance and the acquisition in July. In Q4, Kakwa production of 215,000 BOE per day was up 10,000 BOE per day quarter-over-quarter and included record high condensate production. With natural gas prices strengthening towards the end of the year, we restored production at Sunrise that was previously curtailed. In combination with our low-cost transport to U.S. markets, ARC realized a natural gas price of $3.77 per Mcf, which was nearly $1.50 per Mcf above AECO. In 2025, we curtailed nearly 400 million cubic feet a day of natural gas at Sunrise during periods when natural gas prices were low. This highlights our disciplined approach of focusing on profitability over BOEs, allowing us to defer roughly $50 million of capital while preserving resource. As we look ahead, AECO prices are constructive. We have commenced deliveries to the LNG Canada project through our agreement with Shell. This is an important project and one of several future LNG developments in Canada that will represent a meaningful increase in natural gas demand and bolster long-term profitability. In addition, we are approximately 1 year away from shipping a portion of our natural gas to international markets through our LNG supply agreements, which will add exposure to global LNG prices. Moving on to Attachie. We completed our first year of operations since commissioning the asset in late 2024. Production in the fourth quarter averaged 28,000 BOE per day and included approximately 13,000 barrels per day of condensate. At over 360 net sections, Attachie is a large condensate-rich asset in its early stages of development. Our main goal was to prove up and deliver predictable results in the Upper Montney and second, to assess the Lower Montney potential. Attachie well performance varied over the past year. We've had some really strong wells and some weaker ones. While current production is 30,000 BOE per day with 14,000 barrels per day of condensate, early results from our most recent Upper Montney pads in late 2025 and early 2026 are not meeting our expectations. Therefore, we've chosen to adjust our development schedule to allow our technical teams more time to analyze the results. This will allow us to determine the optimal development plan moving forward. In terms of the Lower Montney, with our first trial pad just about to come on stream, it is still too early to assess the opportunity here. ARC will continue to take a disciplined approach towards allocating capital at Attachie to maximize asset learnings. This will lay the foundation for future development activity focusing on long-term profitability over BOEs. Attachie remains a high-quality development opportunity, and we remain confident in its long-term resource potential. Today, we are working on just 10% of the 360 net sections we've accumulated in the area. It's an important asset for us, and we will take the time to ensure we get it right. And while we do, we'll lean on the strength of our base business, which provides decades of high-quality development opportunities. In terms of guidance, 2026 corporate production guidance remains unchanged at 405,000 to 420,000 BOE per day and capital stays at $1.8 billion to $1.9 billion. With the adjustments we are making at Attachie, capital activities and timing may shift across our asset base throughout the year. Our primary focus is to maximize our learnings from this asset and improve capital efficiency. We will remain nimble as our learnings evolve, so too will our plan. Finally, before I turn it over to Kris, I'd like to speak briefly to our reserves. There are a couple of things I'd like to highlight this year. First, reserves were a record across all 3 categories, increasing by 15% on a PDP basis and about 10% on a proved plus probable basis. And second, we reported a before-tax NPV of 2P reserves of $39 per share, which is based on roughly 1/4 of our internally identified inventory. This highlights both the value embedded in our business and the inventory runway to continue to grow reserves in the future. So to sum up 2025, we advanced our strategic priorities by profitably growing our business on a per share basis. Notable achievements include: first, we delivered record average annual production of 374,000 BOE per day, which increased our profitability and improved our per share metrics. Production and reserves per share increased by approximately 10%, while free cash flow per share doubled to $2.20 per share. This allowed us to sustainably grow our dividend for the fifth consecutive year, increasing it by 11%. And second, we executed 2 strategic opportunities that will improve long-term profitability. First, we consolidated Montney Resource countercyclically, directly adjacent to our existing assets at Kakwa. And second, we added 36 sections of land at Attachie through a unique agreement with TDZE, further extending the asset duration. With that, I'll turn it over to Kris.
Kristen Bibby: Thanks, Terry, and good morning, everyone. Fourth quarter itself was ahead of expectations. Production of 408,000 BOEs a day was 4% of forecast, while funds from operations of $874 million was 11% above. Fourth quarter production was a record despite the curtailment of natural gas production at Sunrise due to low Western Canadian gas prices. Volume gains were mainly driven by Kakwa through organic production growth and the acquisition that closed in July. Full year production was at the top end of guidance and was a record in terms of both natural gas and condensate production. Free cash flow was $415 million for the quarter, which represents a 47% increase compared to the third quarter and is 40% above analyst expectations. Full year 2025 free funds flow totaled $1.3 billion and was roughly double the free funds flow we generated in 2024. In terms of capital returns, ARC returned 75% of free funds flow to shareholders during the year. We repurchased just under 20 million common shares for $514 million and declared dividends of $452 million. The remainder was used to reduce debt and maintain our financial strength. ARC exited the year with roughly $2.9 billion of net debt, approximately 0.9x 2025 cash flow, which was a decrease of approximately $200 million compared to the prior quarter. Balance sheet is strong. We plan to continue to return essentially all free funds flow to shareholders in 2026. ARC invested roughly $460 million in the fourth quarter for a total of $1.9 billion of capital expenditures for the year, which is within company guidance. Full year operating expenses per BOE was within company guidance, while transportation expense per BOE was at the low end of our guidance range. Looking ahead, our 2026 guidance remains unchanged despite the changes we are making at Attachie. Our priorities are to sustain corporate production between 405,000 and 420,000 BOEs per day, investing between $1.8 billion and $1.9 billion. As Terry mentioned, asset level allocations for production and capital may shift over the course of the year as we work through what our next steps at Attachie look like. In our current price environment, we expect to generate approximately $1.2 billion of free funds flow this year, highlighting the profitability of our business under a low commodity price environment. Once again, we plan to return essentially all free cash flow to shareholders through a combination of a growing base dividend and share buybacks. With that, I'll pass it back to Terry for closing remarks, and then we'll open up for questions.
Terry Anderson: Thanks, Kris. As we enter into our 30th year of business, I am confident in what lies ahead. This year, annual average production is set to surpass the 400,000 BOE per day mark. And at current strip prices, we expect to generate approximately $1.2 billion in free cash flow. We're also about a year away from shipping first volumes of natural gas to international markets via the Gulf Coast, marking a significant milestone in ARC's natural gas diversification strategy. The competitive strengths we've developed over the past few decades will serve us well as we work through Attachie and continue to execute our strategy moving forward. We have amassed a large inventory in a world-class asset in the Montney resource play and have a strong technical team to develop it. Owning our infrastructure and securing long-term takeaway capacity should allow us to consistently achieve above-average returns and maintain high margins as we grow our business. We will remain committed to our core principles of risk management and capital discipline, which are central to delivering on our strategy and providing sustainable value to our shareholders. We appreciate the support from our shareholders in making prudent decisions today that support our long-term focus on profitability. Thank you. With that, I'll open the line up for questions.
Operator: [Operator Instructions] first will be Michael Harvey at RBC Capital Markets.
Michael Harvey: Yes, sure. So a couple of questions for me. First, if you were to reallocate some of the capital from Attachie this year to other properties, which I think was around $250 million or so. Maybe just give us a sense for where you would allocate that to? And just kind of remind us how you're thinking about the other growth properties just because Attachie has been a focus for a while. And then second, you're at the low end of your debt target range. Would you consider taking on some incremental debt or just cutting CapEx to buy back more stock? Just kind of trying to get a sense for how aggressive you could be with the buyback at these levels.
Terry Anderson: Thanks, Michael. It's Terry here. So yes, as for where we reallocate that capital, the teams are working on that right now. We think there's opportunities probably in Kakwa and we see other good potential there, especially in relation to with what we acquired last year, and the teams have been looking at that already. There's still going to be -- we're still looking at if there's opportunity within Attachie, that time, depending on the results that we see going forward here on some of the wells that are coming on here, there still will be opportunities to spend dollars in Attachie, too. But the Kakwa is probably one of the spots. The teams are still working on some of those details.
Kristen Bibby: And Mike, I'll jump in on the balance sheet. So balance sheet is where we want it. So what that means is it's unlikely we would put permanent capital towards the buyback. But what you have seen us do in the past is we certainly have the flexibility to steal from the latter part of the year and use that free cash flow earlier on to do the buyback. We've taken a pretty conservative approach here over the last while. So we'll see how things go, but certainly, you can expect us to be in the market.
Operator: Next question is from Sam Burwell at Jefferies.
George Burwell: Just curious if you could add any color on just the nature of the underperformance and inconsistency from the latest Attachie wells. I mean, did these incorporate any new techniques that ultimately didn't pan out? And are there any learnings to date that you can share from this batch of wells? Or is it really still too early to call?
Terry Anderson: Yes, there's nothing -- it's Terry here. There's nothing significant that we changed on the completion design here. And it is really too early. Like we're talking in the Upper Montney, most recent Upper Montney pad has only been on production here for 5, 6 weeks. So we need time for this to truly clean up. And so that's what we're looking for is just time to truly evaluate it. And the whole point of that is to make sure that before we spend more capital, we've got the information from this pad. That's why we're making the change to slow down. Typically, we'd be drilling and completing next pads already while we're waiting for results. We're not doing that. We're making sure that we're making the best decisions based on the information, and now we need to wait for that information first to make the best decisions going forward here on capital activity.
George Burwell: Okay. Understood. And then shifting over to Kakwa, looks very solid in 4Q. And I think the tuck-in acquisition makes a lot of sense. But I mean, any way to quantify what the bolt-on does for inventory depth? And are there any levers you can pull to either run Kakwa at a higher production rate or extends the inventory life further?
Ryan Berrett: Yes. This is Ryan. I think when you think about that, obviously, this is just consistent with our strategy of bolting on contiguous acreage where we can. So teams are looking at that right now and evaluating and that will be incorporated into our development plan going forward.
Operator: Next question from Patrick O'Rourke at ATB Capital Markets.
Patrick O'Rourke: Just going back to Attachie and sort of the learnings you're doing here, 3-12 pad. It sounds like you don't -- you sort of want a little bit more time there. But just wondering going forward in terms of the development, it's been a pretty tight development sort of scheme that you've used to date. Any thought to a program here that spreads the wells out a little bit more going forward?
Terry Anderson: Patrick, it's Terry. The short answer is yes. I think that's the things that we are looking at here. We want to get the learnings where we're at. Like I said earlier, like we're on just the first 10% of 360 sections. So the whole point here is slow things down and start looking at the opportunities on the whole asset base. So that might be an option that we would be looking at here and extending out further from where we're at, at the moment. So yes, that is one of the things that we're looking at.
Patrick O'Rourke: Okay. Great. And then just thinking about the reserve report and reserve performance here, positive technical revisions. Can you sort of give us any color? I know you're lightly booked at Attachie, how reserve evaluators approach that? And then at Kakwa, where you've had some outstanding performance, sort of what level of inventory is formally booked in the reserve report today?
Kristen Bibby: Patrick, it's Kris here. We don't disclose asset level reserve stuff. What I can say is there was minor adjustments made at the Attachie level. And then obviously, at Kakwa, the main change was the booking of the acquisition that we closed in July was the main change, but good strong corporate reserve performance across all categories, obviously.
Operator: Next question will be from Aaron Bilkoski at TD Cowen.
Aaron Bilkoski: Terry, as you alluded to, the latest pad had only been on for 5 or 6 weeks. Can you talk a little bit about what you saw or didn't see at that most recent pad or maybe the most recent pads that prompted you to pull the asset-specific guide?
Terry Anderson: Well, it's extremely early, I guess, from the perspective that we haven't cleaned up the wells yet. And I guess from that perspective, we were expecting a little more hydrocarbon. And right now, we're seeing it, but we're not seeing to the degree that we want. But we realize also we are so early on this. So it's too soon to actually make that call, but it's not too soon to say, well, we want to wait to see the results so that we can efficiently spend capital on the next pads. So really, there's not a lot there. It's more of kind of just gut feel looking at it right now than anything.
Kristen Bibby: And as far as the asset level guide goes, the reason that we're removing it is because we're -- we've made a change on the operational side where we're now slowing down and interpreting the data, as Terry mentioned, before we move on. So any time you do that, it impacts obviously your TILs or your wells coming on. And therefore, we're going to read and react and just wanted to get away from, frankly, month-to-month explanations.
Aaron Bilkoski: Okay. That's fair. Just another quick question. Have you guys made any midstream commitments for Phase 2 that you may not realize?
Kristen Bibby: Everything is already on our commitment schedule, and we're in -- we have what we need to go forward eventually.
Operator: Next question will be from Kalei Akamine at Bank of America.
Kaleinoheaokealaula Akamine: This one is also on Attachie. Just kind of wondering if you can provide some color on where exactly the underperforming Upper Montney wells are located to the extent that this reflects a geologic trend, is it water content? And if it is, how should we think about the aerial extent and the implications for the broader development footprint?
Terry Anderson: Well, it's not water content. We're looking for the production here out of 3-12, and that's what we're focused on and what's driving the decision today. So we just -- and I keep coming back to say we just need more time to see this production and to allow it to clean up. But the 3-12 pad is the one that we're actually focused on. We have good wells right on both sides -- good pads and wells on both sides of 3-12 too. So it's not like it's an aerial thing. There's just some inconsistencies and variability that we're trying to figure out here.
Kaleinoheaokealaula Akamine: Understood. Second question is on Kakwa. So as Kakwa is positioned to carry more of the load this year, what can you share about the 2026 drilling program? Specifically, should we expect activity to remain focused on the most productive condensate yields in your acreage? And can you remind us what the ultimate productive capacity is at that asset?
Kristen Bibby: [indiscernible] I mean, yes, so Kakwa, there's no physical change that we are booking into Kakwa right now. So we're just highlighting that if we need, we might reallocate capital. You saw Q4 performance well ahead of expectations. And that's obviously just carried over a slight bit into the Q1 area, and that's what gave us the confidence to -- there's no adjustment to the corporate guide despite removing Attachie guidance. So pretty comfortable there. In terms of areas of development, no material change from what we've done over the past couple of years. So a really good part of the field that's got good yields, but very consistent overall is what we would say.
Terry Anderson: And I would just add, just to be clear, we said we're evaluating where to reallocate this capital. So we just need some time on that, too, and Kakwa is an option for sure.
Operator: Next question will be from Luke Davis at Raymond James.
Luke Davis: Just a couple for me. So first, just wondering if you can kind of frame out how much technical work went into the initial sanctioning decision at Attachie? And just further to that, I guess, what gives you such a high degree of confidence that you'll crack the nut here, particularly across the broader base? Is this just like the large land overlay? Or is there something technically that you can point us to today?
Terry Anderson: Well, from a technical basis, we drilled a number of pads and a number of wells on that east side, and we had great results coming out of that. So that, from a technical perspective, gave us the confidence to move forward. We have 9 horizontal wells across the east side of the river. So we've got -- and we've got results from that, that show condensate production, gas production from all of that. You have ConocoPhillips to the north. But we do have a lot of data across that land base to give us the confidence that it's -- the resource is there. We're not questioning that. We're just questioning trying to figure out the completion design or how to effectively stimulate it because we have some great wells, and we have some wells that are not so great. So it's like, okay, what's going on there, and that's what we're trying to figure out.
Luke Davis: Yes, that's helpful. Appreciate it. Last one for me. You also tweaked around messaging just around kind of growth potential across the portfolio. Can you just give us a sense for how much depth is left, specifically on the condensate-rich side and ex Attachie, what the longer-term growth profile could look for?
Terry Anderson: Well, we have lots of opportunity, obviously, in Kakwa with 15-plus years of development there. And then we just did this new little acquisition. There's Parkland that has lots of liquids opportunity. Even the north part of Septimus, in Dawson, the Lower Montney and Dawson has some good liquids in it, too. So there's definitely some more liquids growth. And then obviously, we have a lot of gas growth also.
Operator: Next question from Josh Silverstein at UBS.
Joshua Silverstein: So you still are spending around $250 million at Attachie this year. I don't know if you could break this down at all, but I was looking to see is this is all for Phase 1 drilling, how many pads you may be bringing on relative to what you did last year? And you have been doing a little bit of CapEx work for Phase 2. So I was wondering if there's still a little bit of that going on as well.
Kristen Bibby: Josh, it's Kris here. Yes, we've still held the placeholder for $250 million at Attachie. As we've mentioned, we'll consider reallocating it if we choose to. It's just a little bit undetermined at this time. The point of removing asset level guidance was we're going to read and react. So I can't really comment on the pads going forward. As we said, overall corporate guide still $1.8 billion to $1.9 billion, and we'll reallocate as we see fit throughout the year.
Joshua Silverstein: Got you. And then you guys had been active in M&A over the past year, adding into Kakwa. I was curious just to get your updates on that front this year. Are there still some opportunities that may be out there? And especially given that you guys are still in a very strong balance sheet position, is there an opportunity to grow inorganically?
Ryan Berrett: Yes, Josh, it's Ryan. Yes, I think it's something, obviously, we're always looking at and has to be very consistent with our M&A strategy of high-quality assets, large inventory, contiguous asset base. I can't comment on any specific processes at this time. But yes, of course, we're open to it.
Operator: [Operator Instructions] Next will be Travis Wood at National Bank Capital Markets.
Travis Wood: Terry, you kind of touched on this. I think Attachie was unveiled nearly 15 years ago or so at an Investor Day, and you ran the pilots, you've drilled many wells kind of across the broader land base. So what exactly is showing up in the recent data versus the pilots and the pads kind of leading into Phase 1 that now kind of causes you guys pause? And so what exactly changed over the last couple of years? And then what is it that you're looking for on the data side to get comfort again in terms of reiterating guidance at Attachie and push towards Phase 2?
Terry Anderson: Well, I think the big thing that we've realized is actually the casing deformation that we didn't see on the other pads. So that was one of the things that was different from the original number of wells and everything we've seen. And so that means we're just trying to make sure that we can effectively stimulate the reservoir like we've seen on the first number of wells and pads. Really, the -- I keep coming back to the resources there. We just need to tweak designs and to be able to effectively stimulate the reservoir to access that resource that's there. So that's -- and sometimes these things take a little time to figure out. And this isn't the first time we've actually seen this. In Dawson and in Parkland, we've seen similar events where we couldn't effectively stimulate the full lateral length. We figured those out. This one, we've gone so fast at it in such a confined area that we just need a little more time with it.
Travis Wood: Okay. And I mean, I think going back to even the wells. In front of the pilot or some of the older legacy wells even around 2015, will you test what you're doing in this more concentrated area on the west side and try to identify the resource is open to these completion techniques to the Northwest? Or how are you thinking about kind of derisking the completion side?
Terry Anderson: So that's what the teams are looking at right now is to look at expanding, like I mentioned, we're only on the first 10%. So there's a lot of acreage. Some of the plans will evolve into going further out from our existing area that we've been drilling and assessing that a little bit more. So that's -- but our teams are looking at all of those details right now. But that is something that we are going to definitely pursue is moving over and testing more of the acreage beyond the 10% that we're on right now.
Operator: And at this time, we have no other questions registered. I would like to turn the call back to Terry Anderson.
Terry Anderson: Okay. Thank you. Like, I guess my final comment would be, I realize that sometimes the right business decisions are not necessarily the most popular decisions from a market perspective, but we are here to manage risk while we create long-term value for our shareholders. So we will make the right decision. And that's what we're doing here today, slowing things down, making sure that we are focused on delivering long-term value to our shareholders. We appreciate your patience. So thank you, everyone. Have a good day.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. At this time, we ask that you please disconnect your lines. Have a good weekend.